Operator: Good morning, and welcome to the Flower One Holdings' 2019 Second Quarter Results Conference Call. This is Shelly, your operator. Joining the call from Flower One Holdings today is, Ken Villazor, the Company's President and CEO and Geoff Miachika, the Company’s CFO and Kellen O'Keefe, Chief Strategy Officer. Please note that today's call is being broadcast live over the Internet and will be archived for replay, both by telephone and via the Internet, beginning approximately one-hour following the completion of the call. Details of how to access the replays are available in the Company's news release, dated August 13, 2019, which can be found on the Company's website at www.flowerone.com. Before we begin, let me remind you that certain matters discussed in today's conference call or answers that may be given to questions asked could constitute forward-looking statements that are subject to risks or uncertainties relating to Flower One’s future financial and business performance. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are detailed in Flower One’s periodical results and registration statements and you can access these documents in the SEDAR database under www.sedar.com. Flower One is under no obligation to update any forward-looking statements discussed today, and investors are cautioned not to place undue reliance on these statements. For additional information on these assumptions and risks, please consult the cautionary statement regarding the forward-looking information contained in the Company's second quarter Management Discussion & Analysis available at sedar.com. I would now like to turn the call over to Ken Villazor, President and CEO of Flower One Holdings. Please go ahead, Mr. Villazor.
Ken Villazor: Thank you, operator, and good morning, everyone. These are very exciting times for Flower One and I’d first like to begin by thanking those of you have taken the time to join us for this morning’s call. The second quarter was another busy one for Flower One and before getting into the overall details of our operational milestones for the quarter, I wanted to highlight that, as many of you know, we had originally expressed to our shareholders and to the markets that we would actively cultivated scale in the second quarter of 2019.  While we are extremely pleased to report that we have done just that. In fact, our cultivation performance through the quarter and the weeks that followed has far exceeded our expectations. We are pleased to announce initial cultivation analytics. As reported last evening, at the end of the quarter, our cultivation performance has resulted in 38.3 grams of dry cannabis per square foot per harvest cycle at an average cost of $0.45 U.S. per gram.  These results have far exceeded our initial forecast and we believe firmly places Flower One as one of the leading large-scale cannabis cultivators in North America, if not the world. A cannabis company or any company for that matter that cannot scale across multiple markets wouldn’t be able to demonstrate its ability to execute.  And so, I think for us as a company, the fact that we’ve executed really does lend itself to the potential for us to scale not only further in Nevada in terms of our production, but beyond that market. So we’ve executed today and we firmly believe this truly represents an inflection point for our business.  The potential here is for Flower One in the broader context take advantage of significant opportunities across the U.S. cannabis ecosystem.  So to specifically address our second quarter, we accomplished numerous operational milestones and I’d like to highlight some of our major achievements through this quarter. We completed the whole conversion of Flower One’s 400,000 square foot greenhouse. This is the only commercial-scale greenhouse in the entire State of Nevada.  So, obviously, I think for us, as a company that really puts us at a strong competitive position in that market. Converting this massive greenhouse into a high-tech cannabis cultivation facility took just 12 months to complete. It was more than a 138,000 hours of efforts over those 12 months to create this high-tech facility.  That level of rapid execution is industry-leading and truly speaks to the depth and experience of our Flower One team. Now that is just complete, we truly believe this facility, given the level and technology, its scale and the team behind it represents one of the top cannabis cultivation facilities in North America.  From a construction perspective, we also announced in the quarter that we completed our 55,000 square foot post-target production facilities. The commissioning of this facility is in process and we’ll speak further to this later during the call.  With the conversion of our greenhouse complete, we announced in early June that we’d fully canopied our entire greenhouse. That initial planting process involve populating two high-tech cutting saw rooms per propagation, the planting of three vegetative zones, and the planting of eight large flower zones. And to give you a sense of scale, this initial planting represented more than 130,000 plants.  With the greenhouse fully canopied in early June, we also took the opportunity to announce to the market our inaugural harvest of zone one in our greenhouse. This zone represented approximately 7,000 plants and it is worth noting the plant count per zones in our greenhouse do vary based on strain selection, plant density, as well as the factors on burying square footage.  Since taking down our inaugural harvest, we have since harvested all eight zones in the greenhouse and have moved well into harvesting our second crop cycle of these eight zones.  On the finance front, Geoff and his team completed a $30 million U.S. debt financing agreement with RB Loan Portfolio. And again Geoff will speak in more detail on this debt agreement later in the call. On the Investor Relations front, in May, the U.S. trading of our common shares was upgraded to the OTCQX Best Market.  And for those not familiar with the OTCQX, to be eligible, companies must meet high financial standard, follow best practice corporate governance, demonstrate compliance with relevant U.S. Securities Laws, be current in their disclosure and have an introduction from a professional third-party sponsor. Graduating to the OTCQX Best Markets from the OTCQB venture market, is significant as it provides our shareholders increased cross border liquidity while further increasing our visibility and shareholder exposure in the United States.  And finally during the quarter, as part of our ongoing and strategic focus on building an extensive and a rich portfolio of brand partners, we announced a licensing agreement with The Medicine Cabinet, a high-end boutique-style recreational cannabis brand. Since this announcement, we have signed three additional brand partners bringing our total portfolio of brands to eleven.  Our recently appointed Chief Financial Strategy – sorry our Chief Strategy Officer, Kellen O'Keefe will discuss our approach to brand partners in more detail later in the call.  Our operational results for this quarter nothing showed us significant. As I mentioned, in 12 short months, we have transitioned the largest greenhouse in Nevada one of the most high-tech cannabis cultivation facilities at scale. We fully canopied the entire 400,000 square feet of cultivation space, completed our inaugural harvest, moved towards an ongoing weekly harvest schedule, proven our cultivation proficiency by delivering impressive analytics on our yield and cost efficiencies.  It is one thing to deliver on the conversion and construction of our greenhouse. It’s one thing to deliver on placing more than a 130,000 plants into our greenhouse. But now, we are harvesting high-quality cannabis at scale with impressive analytics. And in our view, that is truly a unique trisect in this industry and represents a major inflection point for our company, our business and our scalable potential in the U.S. market.  It was indeed a tremendous quarter of achievements for Flower One proving that our decision to focus on timely execution has truly become a leading differentiator for our company.  For now, I will leave my opening remarks to our Chief Financial Officer in the second quarter but I along with Kellen will discuss the current state of our business, as well as our expectations for the rest of the year later in the call.  Before I turn the call over to Flower One’s Chief Financial Officer, Geoff Miachika, I wanted to set some context to his financial review for the quarter. It’s important for everyone on the call to appreciate and understand in terms of our current state of business in Nevada that we officially began moving inventories out of the greenhouse into the retail market for the first time just last week and obviously anytime you are moving products for the first time from a production line or from your manufacturing facility out into the market, that’s extremely exciting for our entire team particularly our Nevada operations team.  But as such, it’s important to keep that in context as Geoff provides his update on our Q2 results. Geoff, over to you. 
Geoff Miachika: Thank you, Ken and good morning, and hello everyone. Before begin, just like to point out that all of the dollar amounts expressed in this call are in U.S. dollars unless otherwise stated. As Ken noted, our operational activities during the quarter were again largely focused on advancing the conversion of our Greenhouse and production facilities for cultivating high-quality cannabis at scale.  All revenue for the quarter was generated at our Neeham property. The company recorded cannabis inventory of $25.4 million and biological assets of $30.6 million as a result of the cultivation activities during the six months ended June 30, 2019.  Additionally, the company has invested $41 million in property, plant and equipment, primarily for the Nevada greenhouse facilities. Revenue for the quarter was $636,000, representing an increase of 19% from the first quarter of the year. We only began recording revenue on November 9, 2018 subsequent to the acquisition of the assets of NLVO. We note that subsequent to June 30th, we have began generating revenue out of our flagship greenhouse as Ken has noted.  Net income was $19.1 million for the quarter mainly driven by a fair value gain of $37.3 million on the growth of biological assets, as these assets are recorded at fair value each period end. Our cost of goods sold was $844,000 in the quarter and included production cost expense and the cost of inventories sold.  Direct and indirect production costs include direct labor, processing, testing packaging, quality assurance, security, inventory, shipping, depreciation of production equipment, production management and other related expenses.  As the majority of the products sold during the quarter were related to the acquired inventory and biological assets for NLVO, the cost of goods sold figures are approximately the fair value of these products, as we were required to record these products at fair value upon their acquisition.  Now the biological asset gain was partially offset in the income statement by $3.1 million and finance expenses, $461,000 in share-based comp, $7.9 million in deferred tax expense related mainly to the fair value gain on the biological assets, and a foreign exchange loss of $796,000, mainly related to the convertible debentures and derivative liabilities. G&A expenses for the quarter totaled $3.7 million. Some of the more significant components of that were accounting and legal fees, $944,000, $492,000 in wages and salaries, $680,000 in consulting, $392,000 in security cost, $451,000 for general office and admin, and $286,000 in travel costs mainly associated with finance activities, brand licensing, project management and operational support attributable to management and staff traveling to and from the greenhouse.  Now, at the end of June, we had working capital of $41.9 million including about $600,000 in cash, $25.5 million in inventory, and $30.6 million in biological assets.  On June 27, we entered into a debt financing agreement with RB Loan Portfolio for up to $30 million. The financing was at LOBOR plus 8% and has a two year term with interest-only payments for the term of that agreement. We had drawn an initial advance of $21 million in June and drew the remainder subsequent to quarter end.  This financing supports the acceleration of our processing, finished goods and high volume packaging capabilities in order to facilitate the Nevada product launches of our growing portfolio of brand partners.  That concludes my financial review for the quarter. I’ll turn back to Ken to talk about our outlook for the balance of the year and beyond. 
Ken Villazor: Thanks a lot, Geoff. Appreciated. So, from day one, we’ve expressed our shareholders and to the market of Flower One would focus on a single state, that being Nevada and execute well through designing and building a world-class cannabis greenhouse and extraction facility in record time.  We have been judicious with our capital carefully directing funds toward building out our combined operational capacity and cultivation processing, and production of our brands.  In doing so, as Geoff has pointed out, we’ve added more than $40 million U.S. year-to-date in our asset mix on the balance sheet. Today, we have exceeded even our own expectations on our ability to execute. And so, really what next for Flower One?  On the cultivation front, we have successfully maintained a steady rhythm of harvesting one zone per week. This has allowed us to strategically accumulate more than 14,000 pounds of dry flower. And again, as Geoff pointed out earlier, that inventory combined with our biological assets represented more than $56 million U.S.  And it’s really important to keep in mind that that was all largely accomplished in just the second quarter. So I think that’s pretty significant when you look at our business and the fact that we are really just ramping up and so to really build that kind of strength in your balance sheet in a single quarter is tremendous.  Our post-harvest systems and associated automation to support the high volume of cultivated product coming from the greenhouse is operating exceedingly well. And it gives us confidence on our ability to adequately supply the needs of our production facility and the growing Nevada cannabis market.  Speaking of our production facility, we are currently in the commissioning process. In fact, some of our high volume extraction will come online next week.  And this timing is perfect as we have, as I stated more than an adequate initial dry weight inventory of 14,000 pounds and we are well positioned to move that into our large-scale extraction technology being deployed and being commissioned in our production facility to generate distillates and oils to support our brand products.  And as I mentioned earlier at the top of the call, before Geoff’s comments, just last week, our first product from the greenhouse was sold into the Nevada market. And again, it was a significant milestone for our entire Nevada operations team.  More importantly, it signals a tipping point for our production facility, because our ramp up of our production will be swift given our volume of cannabis, our scale of production and the broad range of SKUs we are ready to produce on behalf of our eleven brands.  And with that said, I think this is an opportune time for me to introduce Flower One’s Chief Strategy Officer, Kellen O'Keefe, who will provide an update on our retail efforts and our overall brand and product deployment strategy in Nevada.  Kellen has a strong background and comes most recently from MedMen Enterprises where he was Senior Vice President of Business Development. While in that role, he secured considerable investment capital, and was instrumental in numerous mergers and acquisition transactions. Now, Kellen – Kellen is based in California, lives in California. Obviously, that puts him in places and very close to our Nevada business, as well as future markets for us.  He really – I think, he is a bit of a rare breed in the industry. He is deeply embedded in the U.S. cannabis space. As I stated, he has come from a background of having that senior executive experience in the industry through a large public company. He has got deep knowledge of this space and his connectivity, I think in this industry is second to none.  And so, I think really, for us as a company, when we look at just our evolution and our ability to continue to mature our business, we need to reflect that also in our management and I think Kellen brings a really potent combination of skills and experience to really support our overall strategies development as a company.  So, he is a wonderful and great fit for Flower One. We are more than excited to welcome him to our team and look forward to benefiting from his deep knowledge of the U.S. cannabis landscape. Kellen, over to you. 
Kellen O'Keefe : Thanks. Thank you, Ken. And hello everyone. I first wanted to say that I am absolutely thrilled to be here and to have joined such a committed team with such strong greenhouse operational experience. From what I have observed so far, Flower One’s execution is second to none.  From a seed-to-shelf perspective, Flower One has demonstrated that they are able to deliver on their commitments to consistent, high volume delivery, while upholding and maintaining the product quality, our brand partners, retailers, and consumers have come to expect.  As Ken said at the start of the call, these are very exciting times for Flower One with the select products already produced by our Neeham facility, we are already selling in more than half of the dispensaries in the state. In addition, we have been conducting tours with several dispensary groups and brands that are thrilled about the opportunity to do business with Flower One.  Subsequent to the end of the quarter, we signed on an additional three brand partners including La Vida Verde, The Clear Cannabis Group and Deuces 22. Our plan is to establish more brand partnerships as we look to bolster an ever-expanding and diversified mix of product SKUs and delivery platforms.  We continue to be approached by some of the largest brands in the space and are currently in negotiation and discussions with some of the most significant brands in cannabis.  With the greenhouse facility fully operational, and our 55,000 square foot processing and custom packaging facility ramping up, we are aggressively firing up sales with our brand partners and dispensary customers.  We recently put out our first sales menu to the market just last week, thus kicking off sales from the Bruce Street production facility. The response has been overwhelming in terms of interest and then more importantly orders from the market.  In closing, we’ve proven our platform works producing quality flower and derivatives at a competitive price and becoming a fulfillment partner for both brands and dispensaries alike. I couldn’t be more thrilled about the opportunity that lies before us here at Flower One and I am thrilled to be here.  With that, I’d like to open the call up to questions. 
Operator: [Operator Instructions] Your first question comes from the line of Graeme Kreindler from Eight Capital. Your line is now open. 
William Haynes: Hey guys, it’s Will on for Graeme. Thanks for taking my questions. First thing, I was just wondering, could you guys discuss the type of initial pricing you have received for your greenhouse product? And has it been above or below the state average?
Kellen O'Keefe: Sure, I can maybe take a crack at that one, if you’d like. I mean, to be clear, we have just really started moving products out of the Bruce greenhouse facility and we have offers in place for products that are at or above, I believe the state average.  We are currently looking – and again, if you take into account the product that’s coming out of NLVO, I would say, we would be far above the state average due to the quality of that indoor production. I think that hopefully answers your question. 
William Haynes: Yes, for sure. With more products coming online in the State of Nevada, are you guys expecting to maybe see some pricing compression moving forward? 
Ken Villazor: Yes, so, Will, just – maybe, before answering that question, just to add to Kellen’s comments, I think it’s worth pointing out when we talk about selling our products out of the greenhouse and pricing, when you look at the market today in Nevada, an important observation is that, the fair market value pricing today remains very constant.  As most of you know, but for those that don’t, the pricing in Nevada is tracked very well by the seed-to-sale tracking system in Nevada that the government uses. And so, what’s done as part of their calculation of their state taxes, in terms of their cannabis economy in Nevada is, the state publishes every six months the rolling prices for wholesale products, whether its trim, flower, et cetera, and small buds.  And so, if you would have take triple A flower in the market today, it’s priced at $2300 a pound. So, I think, Will, on the pricing side, that equates to roughly $6 a gram and I think, when you look at the fact that we are delivering finished products to the market and not wholesale flowers, I think it’s safe to say we are certainly at that price if not above on all of our products today coming.  And again, maybe just add a bit more detail. The product moving out of our Bruce facility that Kellen referred to is packaged flower. All of our processed extraction-based product derivatives will be moving out into the market once we finish the commissioning of our production facility.  And then, to your second question, Will, as far as price compression, I think what I would say and I welcome Kellen and Geoff’s comments as well, but, I think in the long-term, I think naturally there will be some price compression. I think the question is to when that begins to happen and at what rate. I think there can be a lot of debate and discussion on that.  But I’ll make two points. One, in Nevada, the regulatory framework is really well designed. It’s in my opinion one of the gold standards in the United States. And I think some states regrettably have rolled out their cannabis legalization without a proper regulatory framework and they’ve seen price erosion. But in Nevada, one of the very deliberate things the regulators and legislators have done is they’ve tapped a number of licenses in the system.  And in fact, I would say today, without speaking sort of officially for the government of course, but our sense based on some conversations that we’ve had in the market is that, really the state is at a point where they feel the number of licenses today are sufficient to meet the needs of the market in the short and medium-term.  So we don’t see any change and that’s significant because if you’ve got a stable set of operators, then, it’s much easier to control supply and demand and as such you are not going to see a flood of cultivators expanding their capacity and flooding the market and taking price down. And obviously, for the state, the taxes generated from the cannabis economy are significant.  One, it’s already outpacing the forecast. It outpaced the forecast for last year. I think the forecast for this year was around $60 million or $70 million. They are on page for $90 million in taxes and if you want to understand how significant that is to their economy, taxes today collected in Nevada from cannabis exceeds beer and alcohol taxes.  And there are three states in the U.S. where cannabis taxes have outstripped the tax revenue generated from beer and alcohol. And that’s in Colorado, - sorry, I believe it’s Washington, Oregon and Nevada. So, my point being that, it’s in the best interest of the state to keep prices stable because of that that tax revenue.  So, what we’ve seen in terms of price compression right now, we are not seeing it. The final point I’ll make is this. When they legalized cannabis in July of 2017, the pricing for wholesale flower was $2145 per pound for triple A flower. Today, it’s $2300. It’s never gone below $2145, the initial pricing. It’s only gone up.  So, I think we are always from price compression. And I apologize for the long answer, but, I hope that helps and Geoff or Kellen if you have anything to add to that, please go ahead. 
Kellen O'Keefe: Yes, I think, I would just add that, we are – our focus is on competing on price. Our focus is on having the lowest cost of production that we possibly can. And I think our initial results for the quarter speak to that. And you know, focus on quality and timing of delivery and customer service, that’s going to be our focus. The market is going to where it’s going to. But our competitive advantage is definitely on the price. 
William Haynes: Perfect. Thank you very much. I’ll hop back in the queue. 
Operator: Your next question comes from the line of Greg McLeish from Mackie Research Capital. Your line is now open. 
Greg McLeish : Good morning guys. Sorry I think, couple questions. On your 38.3 grams per cycle, how many cycles are you looking at for a year?
Ken Villazor: So - good morning, Greg. So, in terms of cycles, through the year, through a 12 month period, we are expecting about six turns of our greenhouse. And again, if I can just add to that, these are early days for our business, including on the cultivation side. We are still optimizing the greenhouse despite performing very well.  I think that our cultivation team clearly has done an outstanding job, but we’ll go through several turns to gain further efficiencies. And strain selection, there is a number of factors that might adjust that six turns per year, but that’s what we are estimating. 
Greg McLeish : So that were sent to – you mean that is industry-leading when you take a look in the greenhouse. I mean, that’s 230 grams per square foot on an annualized basis. And that’s just from your – you are just sort of tweaking all of your, I guess, grow methodologies right now. So, I mean, that could actually grow if we continue to do that. 
Ken Villazor: Yes. 
Kellen O'Keefe: Yes.
Ken Villazor: I agree for sure and I think the one additional point I’ll make is, if you consider where we are in the year, in terms of the Nevada environment, obviously, we’ve just come through June, July and we are now into August. Obviously, the hottest times of the year in Nevada.  And that really does represent despite it been a terrific environment for growing cannabis including in the greenhouse, I think it’s safe to characterize through a 12 month cycle, this season that we are in now which is probably the most challenging in terms of being able to grow cannabis.  So, without trying to suggest where we’ll be on yields going forward, I think, we are certainly proving to ourselves that we can grow in this challenging time of the year and I think as we move into the cooler seasons, in other words the fall and the spring, I think that will certainly be more conducive to our crop and hopefully, result in even better yields coupled with what our grow team will do to continue to tweak our climate regime in the greenhouse. 
Kellen O'Keefe: I think I’ll add to that too, Ken. We started with two strains per zone. We are now putting in 4 to 6, potentially 8 different strains per zone. So, you can’t – I don’t think you can use the 38.3 to extrapolate through the year.  I mean, different strains have much different production capabilities and also, like you said, the growers are tweaking things. So, there is density trials going on in all kinds of things. So, we are very pleased with the initial results for sure. 
Greg McLeish : Great. And just taking a look at your inventory and biological assets, I know that you are looking to process a lot of that product, but when do you think that you are going to see or translate the inventory and biological assets into revenue? Or is that going to be more later this year? Or even moving into Q1 of next year?
Ken Villazor: So, I’ll start and I am sure that, Kellen and Geoff would add to this. But first off, in terms of the biological asset value, that’s really deemed the plants that we have in the greenhouse.  And so, because we are fully canopied, from an accounting perspective, the value of the biological assets will largely stay constant and we are not going to see too much change in that. In terms of inventory, I think that’s a different story.  As we pointed out, as part of our opening remarks, we are at 14,000 pounds today. So, our intention right now, because of the scale of our production facility, and the timing of bringing that online which will happen, it’s happening now, and obviously, we expect to be in a very significant stage in terms of capacity by next month.  The majority, we hope the majority of that, if not all of it, will move through production. In fact, we are doing that now. We are starting some of that extraction already, I believe beginning next week. So, the dry inventory we have today will move into the production facility.  And you will see a steady ramp up of that flow through in terms of the number of pounds that will move through the production facility weekly. That will continue to go up as we move through August and September.  Geoff and Kellen, anything else to add to that?
Geoff Miachika: Yes, well, 
Kellen O'Keefe: Yes, I think…
Geoff Miachika: Go ahead. 
Kellen O'Keefe: Sorry, go ahead. 
Geoff Miachika: Go ahead, Kellen. 
Kellen O'Keefe: I think, you hit the nail on the head. With regards to our inventory, it really – and I think it goes back to what Geoff and Ken, both said earlier, we are not just about trying to offer the cheapest product in the market. We are here to be able to service both brands and retailers and be able to do so at scale and consistently.  So, building up some portion of inventory was very key to our strategy as we try to onboard some of the largest brands in Canada that are seeking Flower One for our ability to scale. So, in order to meet that demand and to be able to fulfill those – our promise to those partners, I believe we are going to need this considerable amount of inventory.  So, very, very excited about what that means for our future and I believe we will start to see some of those results here very soon. 
Ken Villazor: Yes, and just to add to that, sorry, Geoff, just to add to that, because I don’t - I think Kellen raises a very, very good point that, when you look at our dry cannabis inventory, in terms of finished dry cannabis, in addition to just having that inventory, strategically there to be able to move through production, when you look at our retail base and Kellen, of course can speak to this in far greater detail.  But, when you look at the retail mix in Nevada, the majority of the retailers are vertically integrated companies. And many of them, because of their limited cultivation, I think they are looking at Flower One as being an ideal partner in terms of sourcing flower and doing an off-take agreement where there is a broader partnership.  You take that off-take and you help them build out and be able to provide their custom brands into the market and in doing so, you build a broader partnership where they are providing shelf space for our other – our brand partners. And so, there is a really good sort of symbiotic relationship there and we had those discussions.  And our team has done a very good job on that front, by the way and I think we are certainly seeing that kind of demand. So, having that mix of finished products and a good stable substantial dry cannabis inventory that we can leverage with our retailers, I think is strategically important as we go forward here. So, sorry to cut you off, Geoff. Go ahead. 
Geoff Miachika: No, problem. And good morning, Greg. 
Greg McLeish : Good morning.
Geoff Miachika: The only thing I’ll add is, as Ken noted, sales has begun now last week out of Bruce Street and so, we see that ramp now going through to the end of 2019. So, Q3 – rest of Q3 and through Q4 and into the first and second quarter of 2020. 
Greg McLeish : Great. And just if I took a look at your business model, last year when you were sort of building out the greenhouse and the processing. You are initially targeting just wholesale products, but now with the advent of or demand that you are seeing from brand partnerships, you seem to be moving into more finished product and more extracted products.  So, longer term, that should have a beneficial impact on your pricing and also your margins, right?
Ken Villazor: Yes, absolutely, Greg. I think 100% I think it’s a very good point. I think our business model is as you pointed out, we are fairly unique in the industry and again, I think this is one of the differentiators for us in the U.S. cannabis market.  I think our business model as a brand fulfillment partner, coupled with our demonstrated strength on cultivation is really a strong combination and I think for us to be able to offer that as a brand, it’s evident. We have 11 brands already despite really just beginning to move products into the market. So, it’s very clear that our business model is meeting a need in the market.  Brands that aren’t in the market today, and Kellen again can speak to this. He has got deep, deep relationships with so many of the top cannabis companies across the U.S. and if there is anyone who can appreciate the brands that are hungry to get into this market, that aren’t in the market today, it’s someone Kellen.  And so, we know that we are getting lots of interest from these brands and it’s proving that our model is a good one. And so, when we looked originally at our business, and the decision, should we be vertically integrated or not, fundamentally, we felt despite everyone else feeling that there was – it was almost a requirement to be vertically integrated.  We thought otherwise, or fundamentally our vision for the business and it remains this way today is stick to what you are good at, scale moving the day in the end and if you really want a margin capture to the value chain, that’s great. But your ability to margin capture is based on your ability to execute. If you don’t execute on every part of the value chain, you won’t margin capture.  So, for us, I think the management and the Board looked at the opportunity and said, we know we can do a good job along certain verticals and let’s stick to those verticals and gain as much margin capture as we can.  So, to your point, if our production facility at 55,000 square feet is going to be as good as we think it’s going to be and know it’s going to be. And we have the demand in terms of brands wanting to work with us, why wouldn’t we take that margin capture. So, the intent is to move as much of that downstream as we can. 
Greg McLeish : Great. 
Kellen O'Keefe: And I think I’ll just add to that too. There is the markets shift to distillate is an advantage for us. The biomass that we are creating out of this greenhouse is far and above anything – any other cultivator in this state and it gives us that advantage that we can move a lot of that product through the extraction lab.  And of course, the distillated products have that nice value-added bump there. So, you will see some larger gross margins down the road for sure. 
Greg McLeish : Perfect and just two more questions. As you mentioned, you do have 11 brand partners right now. What is your pipeline for brand partners, meaning that, how many are you targeting to have maybe by the end of next year? And on top of that, are you finding any of your brand partners trying to pull you to markets outside of Nevada because of the success that you are having on the growth side within the state?
Kellen O'Keefe: I can certainly take a crack at that one. This is Kellen. And, yes, I mean, we are currently in the process of signing up several of the largest brands in cannabis. The way I see it is that we need to have a complete offering for a dispensary or delivery service and the ability to provide them with every product on their shelf from a luxury to a mid-market, to a value proposition.  We have – our intention is to have the leading brands in all of those categories available for purchase. We need to do some optimizing as far as the number of brands we bring on and how many brands we maintain, and of course that will of course be based on a number of variables and how successful each of those brands are.  But we have – I would say, several of the top performing brands by both revenue and volume from the State of California that we’ll be onboarding in the coming months and our ability to meet the demand of all of those brands in addition to the brands we currently have in – and the wholesale needs of the market are something that we are going to have to prioritize. And we will have a system in place to be able to determine when it’s appropriate to sell, what to whom. 
Ken Villazor: And if I may, Greg, I just – I am going to take this opportunity to - Kellen’s horn a little bit. I think Kellen’s spot on and when you look again at Kellen’s background, he is immersed in large part in the California market.  That, we all know that, not just in this industry, but I think cannabis is a good example where the strongest brands and the quantity of brands coming to the market is no greater than in the State of California. It’s a complex market.  There is many brands in that market. And so, Kellen really – he has the ability and the knowledge and as I said, embedded in that market, he has the ability to really evaluate and assess that market, truly understand, which brands, which types of products are tracking well. How t he market, how consumer preferences are changing? How market share is being taken up in that market and evolving.  And that’s invaluable for us, because all of that intel and insight is important. As Kellen pointed out, we want to select the best brand in each category and in each product category and along the pricing spectrum. So, I think, for us it’s invaluable to have his perspective in his lens on our overall brand partnership strategy. 
Greg McLeish : Great. I’ll get back in the queue. Thanks guys. 
Operator: [Operator Instructions] Your next question comes from Jason Zandberg from PI Financial. Your line is now open. 
Jason Zandberg: Hey guys. I just wanted to touch on CapEx. You said that you are in the process of commissioning the extraction and the value-added production. So, I guess, two questions. What would be the timing to have the ability to service all of your brand partners right now in terms of all the product types and then what is the remaining CapEx to get there? 
Ken Villazor: So, maybe I’ll start and then, ask Geoff to chime in, as well. Good morning, Jason. So, as far as timing, right now, we are obviously, as I mentioned are – we are actively commissioning the production facility. That will continue in earnest as we move into September.  I think it’s reasonable to expect that as we end – as we get to the tail-end of September, we will have the bulk of our production, as well as our packaging lines commissioned and operating.  So, I think as we go into Q4, you can certainly expect that we’ll have the capacity to really start to begin to bring many of our brands and their respective SKUs online. Geoff, I don’t know if you want to add to that and maybe speak specifically to CapEx? 
Geoff Miachika: Yes, good morning, Jason. So, the only things left, I mean, all the equipments in the lab, everything is done. The facility is basically complete and sequential items that are left right now. So, our extraction lab director who is a rocket scientist is commissioning all the different methods right now and that started a couple weeks ago. So, the CapEx left is pretty minimal.
Jason Zandberg: Okay. Sorry, is there any way to quantify to the – couple million dollars or less?
Geoff Miachika: Yes, it’s less than $2 million. 
Jason Zandberg: Okay. 
Geoff Miachika: Sorry, it’s funded. 
Jason Zandberg: Yes, perfect. And then, second question is in terms of just clarification on harvest. The first harvest that was completed, the total yield there was 14,000 pounds of dry products. Is that correct?
Geoff Miachika: No. 
Ken Villazor: No, no. Just to clarify, the first harvest was done in June and that was of zone one. And then, subsequent to that, we have done a harvest each week. So the total at the end of June is 14,000 pounds of dry flower, approximately. 
Jason Zandberg: Got it. 
Ken Villazor: And so that would have been a combination of different harvests. 
Jason Zandberg: Okay. Now that’s perfect. Thanks very much. 
Operator: There are no further questions. At this time, I turn the call back over to Mr. Villazor. 
Ken Villazor: Thank you, operator. And again, thank you to everyone for participating on this morning’s call. In particular, as I mentioned on our last quarterly call, we appreciate there is a lot of people from the West Coast to participate on these calls on the Flower One quarterly calls and I know what the time difference. It’s very early in the morning. So we really appreciate you making the effort to listen in and to be part of the call.  In closing, I’d like to remind everyone again that, as a company, Flower One is now definitely differentiate itself within the Cannabis industry both in terms of one, our ability to execute; and secondly, on our operational performance. We had incredible cultivation yields and efficiencies through our initial round of analytics.  And I think, and I’d certainly hope, as part of today’s call, everyone can appreciate where that places us in the industry, not just in Nevada, not just in the U.S., and really not just in North America. I think these numbers now allow many of you to go out and compare us against everybody else and we feel very confident that these numbers now have proven our abilities out.  And so, the future is incredibly bright for the company. If you talk to our team, the excitement as possible, we see where this is going and we are just extremely excited. So, for those of you who are shareholders, we want to thank you as always for your continued support and for sharing our vision and our disciplined approach to entering the U.S. cannabis space.  We look forward to reporting on our progress again next quarter. And again, thanks to all of you for joining the call.
Operator: This concludes today’s conference call. You may now disconnect.